Operator: Welcome everyone to the Blackstone Secured Lending Fourth Quarter and Full-Year 2022 Investor Call, hosted by Michael Needham, Head of Investor Relations. During the, your lines will remain on listen-only. [Operator Instructions] And now, I would like to hand over to Michael. Please go ahead.
Michael Needham: Thank you, Colby. Good morning and welcome to Blackstone Secured Lending's fourth quarter call. Earlier today, we issued a press release for the presentation of our results and filed our 10-Q, both of which are available on our Shareholders section of our Web site, bxsl.com. We will be referring to that presentation throughout today's call. I'd like to remind you that today's call may include forward-looking statements which are uncertain and outside of the firm's control and may differ materially from actual results. We do not undertake any duty to update these statements. For some of the risks that could affect results, please see the risk factors section of our most recent annual report on Form 10-K. This audio cast is copyrighted material of Blackstone and may not be duplicated without consent. With that I'll turn the call over to BXSL's Co-Chief Executive Officer, Brad Marshall.
Brad Marshall: Thank you, Mike, and good morning, everyone. Joining me today are Interim CFO, Kevin Kresge and our newly appointed Co-CEO, Jon Bock. I, as well as many others on this call are quite familiar with Jon's impact on the BDC industry. As both a top-ranked equity research analyst and BDC executive, Jon is an exceptional thought leader in the BDC space as well as a long-time friend. I'm thrilled to have his partnership as we continue to expand our business. Turning to this morning's agenda, I'd like to start with some high-level perspectives before Jon and Kevin go into detail of our portfolio and fourth quarter results. Turn to slide four. BXSL reported another excellent quarter with significant growth in investment income, higher net asset value, and strong credit performance. Net investment income, or NII, increased 13% quarter-over-quarter to a record $0.90 per share, which represents a 14% annualized return on equity. This powerful performance reflects the quality and strength of our well-sourced portfolio. At year-end, 98% senior secured 47.5% loan-to-value, with zero investments on non-accrual, and only 1% of our assets marked below 90. Our net asset value, which increased to $25.93 from $25.76 the previous quarter, also reflects the portfolio's strength. As a result, I'm thrilled to report that BXSL has raised its regular quarterly dividend by 17% to $0.70 per share beginning in Q1, 2023. That represents a 10.8% annualized yield for shareholders based on the higher fourth quarter NAV of $25.93 per share. This marks the third time in the last year-and-a-half that we've raised our regular dividend, which we believe represents the highest dividend yield for any listed BDC with a predominantly first lien senior secured portfolio. Since we [IPOed] (ph) in late 2021, we've increased our regular dividend by 40%. Later in the call, Jon will speak to the durability of that higher dividend which remains very well covered by our fourth quarter net investment income of $0.90 per share. Slide five provides additional highlights on our portfolio activity and strong liquidity position. Fourth quarter sales and repayments were $219 million, offset by $177 million of new investment funding which remains below historical levels. Our weighted average yield on debt investments increased by 9.1% last quarter to 10.7% at quarter-end driven by higher base rates. We closed out the year with $1.1 billion in liquidity. Turning to slide six, we ended the year with $9.6 billion of investments and leverage of about 1.34 times, which was effectively flat quarter-over-quarter. Importantly, the ending yield on our 98% floating rate debt portfolio expanded approximately 350 basis points over the last 12 months, with more potential upside from here. Turn your attention to slide seven. Here we outline BXSL's strong NII per share growth. We've illustrated how interest rates could impact the year-end portfolio. You can see that if we apply 12-31 rates to that portfolio, NII jumps to $0.96 per share. This transition to increasing base rates has continued since year-end. Looking at this chart, I think market investors understand that base rates could drive up NII. But today, I'd like to dive into just one of the tools that is available to and unique to Blackstone that inform our view on macro conditions. As many of you know, Blackstone's position as the world's largest alternative asset manager allows for distinctive and differentiated insights gained across our portfolio of businesses in private equity, in credit, and real estate. Within Blackstone Credit alone, we have over 3,100 companies across our liquid and private businesses. As debt originators, we often receive real-time information from our companies and have direct access to sponsors, management teams, and market participants. This results in market views that are core to our investment process. And we use data and technology to integrate it into our portfolio decisions. One differentiated resource we want to share is our CEO Survey from our Blackstone portfolio companies, which can offer unique insights. First, while those responding CEOs ranked slowing economic growth as the top macro issue they face, Blackstone's private equity companies saw year-over-year revenue growth in the fourth quarter. And most of these CEOs expect near-term revenue growth to stay healthy. Second, responding CEOs indicated that inflation is decelerating in major categories; wages, raw materials, energy, and pricing. Lastly, a sign of confidence in the operating environment is the management teams' willingness to invest in projects for growth and efficiency. What's interesting is that a majority of the CEOs expect to maintain or increase their level of investment with the largest areas being software, technology, and services to improve productivity. This also supports BXSL's thematic industry selection in these areas. To be sure, despite the slower overall inflation, certain inflationary pressures remain. For example, some cooling in the labor markets and base FX has helped to moderate wage pressure, but it remains well above levels considered consistent with the Fed's inflation target. We think that supply-demand imbalances in the labor markets will cause the Fed to keep rates higher for longer. Today's economy simply has many more job openings than there were before the pandemic. And the vast majority of responding CEOs expect their company's employment levels to be flat or positive. This muddling along in the economy should keep credit performance generally strong, particularly for those managers capable of underwriting large-scale businesses. Before turning it over to Jon and Kevin, let me leave you with a final overarching thought. When we created BXSL and BCRED, our non-traded BDC, we told investors that we would lead the market with best practices, including lowering our fees so we could bring a more defense portfolio that would protect capital in more challenging market conditions, yet still deliver attractive returns. That philosophy continues to serve us well. We operate at a cost structure about 30% lower than that of our listed peers. We amortize OID over the life of the loan, and we don't scrape upfront fees for fund assets to the manager because that's something that we believe runs contrary to true investor alignment. And most importantly, that alignment comes with the benefit of Blackstone's differentiated scale. Across our platform, the benefits of that scale abound, but especially in uncertain economic environments when our portfolio management and Blackstone advantage teams can, I believe, add significant value. Recall, we have an internal Blackstone team of 112 people who work with our portfolio companies, including over 20 professionals in or affiliated with Blackstone Credit. This team not only takes an active role in watching over our companies, initiating ongoing discussions with our sponsors, but also adds value to our portfolio companies by giving them access to Blackstone's operating resources to drive both revenue and cost synergies that are significant to the portfolio company and the private equity sponsor. For example, in 2022 alone, the Blackstone Credit Advantage team was able to reduce portfolio company cost by $66 million across the Blackstone Credit platform, bringing almost $250 million in savings since the inception of the Blackstone Advantage Program. Through these cost saving initiatives alone, the team has added more than $3 billion of enterprise value to the Blackstone Credit portfolio, a significant benefit for our sponsors. In addition, across the full Blackstone portfolio, companies have generated over $500 million in revenue from cross selling to one another. The scale and impact of what we sometimes call the Blackstone economy, in which the portfolio companies across our credit platform are meaningfully engaged differentiates Blackstone Credit can be especially impactful in a slowing economy. The impact of this specialized team and its end investor benefit is immense. And we believe entirely unique to the Blackstone Credit Group. We also expect it to be a major differentiator of our platform and performance over time. So, with that, I will turn it over to Jon to speak about the portfolio.
Jon Bock: Thank you, Brad, and good morning, everyone. I can't tell you how much I've looked forward to walking through the strength and stability of the BXSL portfolio with you. And the best place to start is to tell you very briefly why I chose to join Brad and the team at Blackstone Credit. And I'm sure you all see us drive the immense scale and broad capabilities that Blackstone brings to private credit markets. Yet what surprised me. And it may also surprise you is how Blackstone pairs the power of its unique scale, with world class shareholder alignment to drive attractive performance and investor returns. And Brad alluded to this. This isn't something I take for granted; BXSL fee structure is materially lower than the average publicly listed BDC. BXSL also has a performance fee look back mechanism, and the management team has regularly demonstrated in industry leading ability and willingness to align with shareholders. I spent my entire professional career in BDCs and private credit early on as a sell side analyst before I became an operator and Chief Executive. When BXSL was formed in 2018, Brad Marshall stated that Blackstone would lead the BDC market with best practices. And in my professional opinion, they've done exactly that. I'm thrilled to join the team to be here today and join my colleagues. And that's actually a perfect segue to the portfolio. Remember, Blackstone's decision to focus on shareholder alignment upfront, allowed BXSL to build a more defensive portfolio that better protects shareholder capital in more challenging market conditions. So, let's outline what a defensive portfolio looks like. Jump to slide eight, let's start with seniority, 98% of BXSL investments are in first-lien senior secured loans, and over 95% of those loans are to companies owned by private equity firms or other financial sponsors who have access to additional equity capital to support their companies. The portfolio is highly equitable, with an average loan to value of 47.5%. But it's not just that we're senior in the capital structure. More importantly, we're focused on senior with companies of the right size in the right industries. Focusing on size, our portfolio companies have an average EBITDA of $167 million relative to $116 million as of 4Q '21 and we continue to orient the portfolio to larger, more durable businesses. And furthermore, recent data from Lincoln suggests that companies with greater than $100 million of EBITDA grew more than two times that of companies with less than $50 million of EBITDA in 2022 through Q3. Slide nine focuses on our industry exposure, where we believe investing in better companies, in better neighborhoods drive strong returns over time. This means focusing on key sectors with low default rates and lower CapEx requirements, such as software, healthcare, professional services, which account for over 36% of the investment portfolio. Diving into portfolio quality further jump to slide 10, here we compare the BXSL portfolio to the Lincoln International Private markets database. And many of you know Lincoln as a leading valuation provider to the private credit and BDC space, as they value a review over 5,000 private credit investments each quarter. Lincoln, in partnership with several faculty members of the University of Chicago Booth School of Business created the Lincoln Senior Debt Index, the leading Private Credit index which allows investors and managers to truly drill down into a loan level performance data for the entire private credit marketplace. And this is an extremely valuable index. So, in comparing BXSL, you can see that our weighted average EBITDA of $167 million is doubled the Lincoln market average of about $78 million. EBITDA growth for our portfolio companies is also double that of the Lincoln benchmark. And importantly, on profitability, our portfolio companies have EBITDA margins that are 35% higher. Let's talk about interest coverage, because interestingly, this is a stat that gets widely shared on other listed BDC earnings calls. But the way it's calculated by BDC Managers varies widely. In some cases, certain sectors or types of loans are excluded. In other cases, Managers exclude negative EBITDA companies, both decisions that obscure the averages, and leave investors looking for better transparency. When we calculate interest coverage, we include all private company EBITDA, including companies that have borrowed on a recurring revenue loan, so Managers exclude these types of loans or underperforming loans from their metrics, we do not. Next, we compare our portfolio to the Lincoln database, which we believe is most representative proxy for the entire credit market. We currently sit at least 12 months average interest coverage of 2.3 times today, which is slightly higher than the market average of two via Lincoln. This difference remains resilient when interest rates with interest rates at December 31 levels through the portfolio, and when you run that through the portfolio that brings our average interest coverage to 1.7 times versus the private credit markets of 1.4. We attribute this stability to our focus on larger, more profitable higher growth businesses. Yet we also hear from our investors and other market participants, that it's less about averages, particularly averages that are obscured by exclusions, and more about the tails, mainly the percent of one's portfolio below an interest coverage ratio of one-time on a forward basis using higher rates. If we flow through the December 31 spot rates, we can see that BXSL would have roughly 8% of its portfolio with an interest coverage ratio below one compared to the Lincoln private credit markets database, which have more than twice that amount, a very stark difference. And for those reasons, I think we're positioned better than the private credit market. And further, we don't believe that less than one times coverage in our portfolio driven by higher rates directly translates to potential credit losses for companies where fundamentals in the outlook remain healthy. And really we believe that the markets right, averages will not tell the story of direct lending performance, the tails will and we seek to limit our tail risk through our focus on better larger businesses in more resilient sectors. And we continue to see favorable results. Blackstone has also built its conservative credit culture on a foundation of structural protections for investor capital. And we do this while focusing on larger deals. Note that when Blackstone leads or co-leads, the vast majority of our deals have structural protections against asset stripping and collateral release to prevent any shifting of assets out of our collateral package, and almost none allow for uncapped EBITDA add backs all materially better than the leveraged loan market. Let's turn to amendments. We work with our portfolio companies constructively in the regular course. And to provide an idea of scope of the 23 amendment requests we received in the quarter, 56% of those were related to M&A or add-on activity, and 43% were related to SOFR rate hedging or other technical adjustments. We did not have any companies that need immediate interest, principle or covenant relief in the quarter. And to be clear, should our companies face more challenging times, we have a large operational teams. Brad mentioned that can help them reduce expenses, improve operational efficiencies, or source new revenue channels, and we believe our portfolio and scale set at, they set BXSL apart from the rest of the private credit field and our dividend increase further reflects our confidence in the future. Jump to slide 11. As Brad mentioned, we elected to raise our dividend by nearly 17% from $0.60 to $0.70 per share with a current dividend yield at NAV of approximately 10.8%. The absolute dividend level generates what we can consider to be an attractive return but I also want to highlight how Blackstone shareholder aligned approach allows us to pay this elevated distribution, even in a lower rate environment. Many of you are familiar with the concept of BDC math, which essentially asked this, at what spread over the base rate must a BDC lend to generate the dividend they promised investors. And as you might expect, that answer can vary widely depending on the BDC. Higher costs BDC fee structures characterized by higher base management fees, higher incentive fees or all OID scrape that requires such BDCs to originate at a wider spread on assets, which may be associated with higher risk loans in order to meet the dividend obligation. At today's base rates, we estimate BXSL at our future fee structure of 1% and 17.5% incentive with a follow-back would need to originate at approximately SOFR plus 400 to meet its dividend obligation before prepayment fees well below the current investment opportunity set, and all else equal as of December 31. Additionally, let's say base rates were to fall to 2%, BXSL would need to originate or invest at roughly a SOFR plus 600 level to meet that same return all well within the strike zone of private credit across cycles. And as compelling as math may be, I want to leave you with a somewhat philosophical view of our approach to dividends. We believe the best dividend policy can support both a steady and stable distribution and long-term NAV growth and we believe BXSL's low fee shareholder aligned approach does exactly that. And with that, I'll turn it over to Kevin to go over the financials.
Kevin Kresge: Thanks, Jon. I'll start with our operating results on slide 12. In the fourth quarter, net investment income was a record $144 million or $0.90 per share, which was up 34% year-over-year. Our revenues were up $59 million or 31% year-over-year, with combined fee and dividend income, flat quarter-over-quarter payment-in-kind or PIK income declined to $10 million from $11 million last quarter and represented less than 4% of total investment income. Meanwhile, net expenses were up just $25 million compared to last year's fourth quarter, driven largely by interest expense. GAAP net income in the quarter was $122 million or $0.76 per share, up from $0.73 per share a year-ago. This is despite $22 million of unrealized losses this quarter. These unrealized markdowns resulted in a $3 million capital gains incentive fee reversal or $0.02 per share benefits NII this quarter. Next turning to the balance sheet on slide 13, we ended the fourth quarter with $9.6 billion of total portfolio investments, of which approximately 98% are floating rate at a weighted average yield of 10.7%. This compares to [$5.5 million] (ph) of outstanding debt, weighted average cost of just 4.3%. Spread between our floating rate assets and low costs mostly fixed rate liabilities, provides the company with the potential for additional earnings growth if rates continue to rise. As a result of strong earnings in excess of the dividends in the fourth quarter, NAV per share increased to $25.93, up from $25.76 last quarter. Next, slide 14 outlines our attractive and diverse liability profile, which includes 58% of drawn debt, and unsecured fixed rate bonds with a weighted average interest rate at less than 3% which we view as a key advantage in this rising rate environment. Additionally, BXSL ended the year with $1.1 billion of liquidity in cash and undrawn debt. We believe this provides us with significant flexibility and cushion. Our ending debt-to-equity ratio was 1.34 times in line with last quarter. Importantly, we ended the year with no assets on nonaccrual and maintained our three investment grade corporate credit ratings. Additionally, we have a low level of debt maturities over the next few years with just 6% of commitments, maturing prior to September 2024 and an overall weighted average maturity of nearly four years. Moving to an update on our share repurchase program, which has been accretive to shareholders. As you may recall, BXSL instituted a $262 million share buyback program at the time of our IPO. And in 2022, we repurchased 11 million shares at a weighted average price of $23.97, representing an 8% discount to current NAV, one of the largest executed share repurchases in BDC history. And in keeping with our focus on shareholder alignment, I am also happy to report that the BXSL Board has approved an additional $250 million discretionary share repurchase program. And our management team will continuously monitor investment opportunities in the direct lending marketplace as well as in our own shares. In closing, we believe BXSL is very well-positioned to generate earnings in excess of our dividend as rates on our 98% floating rate investments continue to reset higher. As Brad mentioned, we estimate our fourth quarter NII per share would have been $0.06 higher or $0.96 total if the average base rate was, hypothetically, at December 31 levels for the entire quarter, all else being equal. And there is additional offset potential from here given the recent 25 basis point Fed rate hike, with the potential for more increases in the future. We remain positive about the outlook given our best-in-class origination and portfolio monitoring teams, our strong, defensive portfolio designed to protect capital in times of stress, and the earnings upside potential as a result of rising rates. And with that, I'll ask the operator to open it up for questions. Thank you.
Operator: Thank you. [Operator Instructions] And the first question is coming from the line of Finian O'Shea, Wells Fargo. Please go ahead.
Finian O'Shea: Hi, everyone. Good morning. Appreciate the color there on the interest coverage and the portfolio. What are the interest coverage ratios you're seeing today in the market for new deals?
Brad Marshall: Thanks, Finn. Interest coverage is in line with where the existing portfolio is. Or said differently, the capital structures are being set up with a little bit less leverage today given where rates and spreads are in this environment. So, a lot of deals that we're looking at are around two times coverage, stepping down a little bit to the extent that base rates get into the low-to-mid fives.
Finian O'Shea: Okay, that's helpful. Thanks so much.
Operator: And the next question is coming from the line of Casey Alexander, Compass Point. Please proceed.
Casey Alexander: Hi, good morning. First of all, welcome to Mr. Bock to the Blackstone management team. We're happy to see him there. I have two questions. First of all, I appreciate your thoughts around the dividend and around the base dividend. Based upon where your earnings power is, currently the base dividend doesn't even come close to satisfying the RIC requirements for required distributions. So, how do you plan to -- do you have a formalized process that you're thinking about for distributing the additional income that you expect to earn over and above the base dividend? Some BDCs have offered a formula that they would use. How do you guys think about managing that RIC requirement and handling the extra income over and above your current base distribution?
Jon Bock: Thanks, Casey. This is Bock. So, I'll start with really our focus on what we believe truly drives long-term value. And so our view is, as those BDCs that institute steady and stable growing base dividends and have a level of NAV growth associated, those are generally the types of BDCs that generate the best valuations. So, you could expect to see clearly, while we have a raised dividend, there is going to be a level of earnings excess. That level of earnings excess enters dividend spillover and grows NAV, and to the extent that we start to approach a level of special that's going to be required as a result, we'll deal with that as we come to it. But we find that there is more value as it relates to NAV and the compounding inside given the small cost of excise tax of 4%. And over time, as you start to see the market opportunity grow and BXSL grow along with it, you can easily manage a number of those payouts to drive long-term return.
Casey Alexander: All right. My second is, and appreciate the information that you gave on slide 10, the types of companies that fit the fundamentals that you are lending to also have deal sizes that are well in excess of the average size in the marketplace. So, given co-investment privileges, does Blackstone have deep enough pockets that have co-investment privileges to be able to absorb those entire deals or would you think more in terms of partners on some of those deals? How do you contour managing the deal size that comes with those types of characteristics?
Brad Marshall: Yes, Casey, it's Brad. I'll take that. So, if you look at our private portfolio, about 80% of the deals that we do, we're the sole or lead lender. I think once a deal gets above $2 billion it requires us to bring in partners. So, as you exceed a certain size, we are going to be co-investing alongside others, which is partly why our fee structure is so attractive, right? If other managers are coming in alongside of us in those deals, the best ROE for investors for those types of deals, those large deals, is to invest to BXSL just because of the fee structure that Jon went through.
Casey Alexander: All right, great. Thank you for taking my questions, that's my two. I'll hop back in the queue, and if I have more I'll jump back in later.
Brad Marshall: Thanks, Casey.
Operator: And the following question is coming from the line of Robert Dodd, Raymond James. Please go ahead.
Robert Dodd: Hi, guys, and welcome, Jon. On going to that slide -- the data on slide 10, I mean, Jon, you talked about at the December spot rates you'd have 8% of the portfolio under one times interest coverage. December is your peak though. Have you looked at what, say, intra the proportion or indeed your proportion versus the length of the portion would be under 1 at peak rates, which are maybe 100 basis points higher even than December?
Jon Bock: Yes. So, if you start to look forward, let's say 5%, you'll notice that that ratio still stays very, very close. For Blackstone, you'll see a level of stability in our portfolio given where we focused. And then for the market, if you move forward, you start to see that tail increase over 20%. Our goal is to give you a view of what we see as of 12-31, and then continue to adjust to what's factually there, because who knows where rates will be arbitrarily. But that's really where it will trend. And we believe that's an important item to focus on because, truly, it is what sits in the tails and how you manage it, Robert.
Brad Marshall: Rob, maybe just to add to that, because we clearly run all the different interest rate environments through our portfolio. I think I mentioned this before, but we have one of the largest portfolio management teams in the industry. And this is a big part of what we do; we run it through our models. Because what that does is it creates the conversation with the sponsor to figure out a game plan to the extent they're going to be close. If you look forward into peak rates, what you'll find is that -- and remember, we look at coverage on an LTM basis, and if look at the companies that would step into the less than one times, they're actually outperforming the rest of the portfolio. So, we feel good about the quality of those companies that would approach or be less than one times in higher rate environment because of the momentum they have on a forward-looking basis to performance.
Robert Dodd: I appreciate that, but that's exactly related to the follow-up question. Which is to your point, like just under one times interest coverage doesn't really -- that doesn't [indiscernible], right? It has to be a combination of factors, i.e., lender 1 and the EBITDA is shrinking or that the business is broken or something like that. So, if I look at slide 10, in the middle, LTM EBITDA growth, you're at 17%, credit market at 9%, so roughly 2X again. So for the tail, what percent of the portfolio, for example, has negative EBITDA growth or -- because that's where the problems are going to come from more than the interest expense, right, it's that the EBITDA is having a problem or any other way you can breakout the tail of the portfolio for us in some of those other metrics?
Jon Bock: So -- or maybe asked differently, interest rates alone don't cause companies to default. Good companies will manage through a higher interest rate environment quite well, especially given the vintage of BXSL's portfolio companies. But to answer your question, Robert, about 20% of the companies that are closed on interest coverage have been performing in line or below expectations.
Robert Dodd: Got it, I appreciate that. Thank you.
Operator: [Operator Instructions] And the next question is coming from the line of Ryan Lynch, KBW. Please go ahead.
Ryan Lynch: Good morning, and welcome, Jon, to Blackstone. The first question I had, kind of following up on the whole interest coverage discussion. Really appreciate the details you guys gave in your prepared remarks as well as some of the details in the slides. I just think it would be helpful, when you think about the portfolio, 8% falling below 1% interest coverage, which just sounds like that's pretty significantly better than most of your peers. But I would just love to hear, if that does occur, what are some of the remedies that you all can do to ease the stress of those companies? I would assume that the easiest one is trying to get the private equity sponsor to inject more capital into that business. But assuming that does not occur, what are some of the remedies that you can do and proactively make to allow those companies to transition through this kind of period of high interest rates?
Jon Bock: Yes, thanks, Ryan. So, a couple of things, one, half those companies, of the 8%, are companies that have negative EBITDA by design. So, these kind of reoccurring revenue loans, so it's a small portion of our portfolio, but their capital structures were set up with that in mind. With the rest of the portfolio companies, there's a couple things. One, when we have these conversations with the sponsors, what they say when we run our models and we show them what we think interest coverage is, their reply is typically, one, they can cut costs in order to improve cash flow and service their debt. Two, they can inject equity, as you suggested. And as I said, interest rates won't cause a good company to default, so they will support their companies. Third, you can pick some of your interest rate, which I'm sure you'll see more of across the industry as this year evolves. And then you have maybe the fourth mechanism is most companies have revolvers they can use as long as it satisfies their covenants to fund any kind of slight misses in cash flow. So, those would be the four primary areas. Again, we've had all these conversations with all these companies within our portfolio companies that even get close. And so far, the sponsors seem incredibly supportive given what I said earlier, which is if you're a good company transitory issues like rates, like inflation does not cause a company to default.
Ryan Lynch: Yes, got it, that makes sense. And then just the other question I had was, and I may be wrong in this, but I thought you guys' targeted leverage range was around 125. So, you guys have been running, not materially above that, but closer to 130 -- in the 130s the last several quarters. Did you guys change where you guys expect a run or is there ever a point where you guys want to reduce that down to 125-ish?
Brad Marshall: So, Ryan, remember in the quarter, we bought back another $47 million of stock, and we invested actually about $175 million. So, those two things alone, which entirely in our control, took leverage above 1.25 times target. And if we remember last call, I said we had about $800 million of pay-downs coming, $200 million, roughly, we saw in the fourth quarter. So, we have another line of sight over the next couple of quarters to additional paydowns. So, that's informing, kind of our buyback, our investment pace, and we take [technical difficulty] -- 
Ryan Lynch: Okay. Just wanted to -- I mean that makes sense, you know, kind of moving it around a little bit when there's good opportunities, and line of sight and share repurchases, I just want to make sure that the long-term can change. That's all from me. I appreciate your time.
Brad Marshall:
Ryan.:
Operator: And now I would like to hand the call over to Michael for closing remarks.
Michael Needham: Great. Thanks everyone for joining. Our team is available for any follow-up should you have them. Otherwise we will speak to you again next quarter.